Operator: Good day, ladies and gentlemen, and welcome to your fourth quarter and full-year 2009 Ctrip.com International Limited earnings conference call. My name is Tanya and I will be your event manager today. Throughout the conference you will remain on listen-only. (Operator instructions) We will be accepting audio questions after the presentation. I’d now like to hand the conference over to June Zhu. Please proceed.
June Zhu: Thank you, everyone, for attending Ctrip's fourth quarter and full year 2009 earnings conference call. Joining me on the call today, we have Mr. James Liang, Chairman of the Board; Mr. Min Fan, Chief Executive Officer; and Ms. Jane Sun, Chief Financial Officer. We may during this call discuss our future outlook and performance, which are forward-looking statements made under the Safe Harbor provisions of the US Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, our results may be materially different from the views expressed today. A number of potential risks and uncertainties are outlined in Ctrip's public filings with the Securities and Exchange Commission. Ctrip does not undertake any obligation to update any forward-looking statement except as required under applicable law. Min, James, and Jane will provide business updates, industry outlook, and financial highlights for the fourth quarter and full year 2009 as well as outlook for the first quarter of 2010. We will also have a Q&A session towards the end of this call. With that, we will turn to Min for our business update. Please.
Min Fan: Thanks, June. And thank you to everyone for joining us today on the call. I’m excited to report solid results achieved by the Ctrip team in the fourth quarter and full year 2009. It has marked a perfect beginning of a new era of the celebration of Ctrip’s 10th year anniversary. Although the year 2009 presented everyone with many challenges, Ctrip team was able to capture the opportunities, achieve strong growth, and extend our leadership in 2009. In Q4 2009, our net revenues grew 43% year-over-year and net income grew 57% year-over-year. For the full year 2009, our net revenues grew 34% year-over-year and net income grew 48% year-over-year. Our hotel supply network continued to expand at a rapid pace, with approximately 9,800 hotels by the end of the year 2009 compared to approximately 7,700 in 2008. The number of hotels with guaranteed allotment rooms further increased and accounted for more than 70% of the total hotel supply. Air industry, which suffered a lot in 2008, had a bad performance in the fourth quarter and full year 2009, but we were able to outperform the industry growth rate in the fourth quarter as well as for the whole year. Our air ticket growth has demonstrated strong execution capability during good and bad times. Our packaged tour business achieved a robust growth due to the recovery of customer confidence and the increase of household income. Leisure travel reached a new record during the October Golden Week holiday, (inaudible) of the more competitive products with extended job market coverage in 2008 – 2009. By the end of the year 2009, Ctrip’s sales and marketing team increased our cumulative customers from 6.2 million by the end of the year 2008 to 8.9 million. Not only had our team taken the leadership in the first-tier cities, they have further penetrated in the second-tier cities. Our service team has always taken pride in providing our customers with high quality of services. In 2009, Ctrip’s call center has won Golden Headset [ph] Award for the best contact center in China. With the efforts from our call center staff, customers’ loyalty had been intense. Repeat customers have contributed the majority of our revenue. Loyal customers (inaudible) become available sales channel for Ctrip. In the second half of 2010, our second call center in Nantong will enable us to expand our service capacity and to be well prepared for the increasing volume. Our IT piece has continued to put efforts to improve the unregulated experience. In the fourth quarter, we updated the user interface for hotels, air ticket, and packaged tour businesses. The upgrade has made online search more effective and online booking faster and easier. Over (inaudible) this year, Ctrip entered into an agreement with Wing On Travel to invest in 90% of its travel group. We are very pleased to have this opportunity to invest in Wing On Travel. Headquartered in Hong Kong, Wing On Travel primarily operates in Hong Kong and engages in tour packages, airline ticketing, hotel reservation, and inbound and outbound travel operations. Wing On Travel operates approximately 20 branches in Hong Kong and abroad, along with a call center and the website to service travelers. Wing On Travel is a leading travel service provider in Hong Kong and has one of the most recognized travel brands. It was awarded as the Best Travel Agency in Hong Kong for four consecutive years since 2006. With 45 years in business, Wing On Travel has successfully built up a large base of loyal customers and a seasoned management team in the leisure travel market. Through this alliance, we will be able to combine Ctrip’s high technology, large base of customers, and a strong market [ph] supply network, with Wing On’s extensive experience in the leisure travel market and worldwide results [ph]. This will attract more FIT travelers from Hong Kong to use Ctrip’s services. Meanwhile, it will also help us provide service to high end urban travelers from Mainland China. Together, this strategic alliance will offer more comprehensive products and elevated services to our customers. Ctrip and our partners are well positioned to capitalize the opportunities in the travel market in the Greater China area. Ctrip’s track record on M&A has been proven prudent and very generative to our shareholders. Each acquisition or investment that Ctrip made in the past ten years has helped Ctrip to become the leading player for that business segment. We have the same reason for the investment in Wing On Travel. The World Expo 2010 Shanghai offers Ctrip a good opportunity to (inaudible) our trend. As an officially recognized travel agency for the 2010 World Expo in Shanghai, we are working hard to offer hotel accommodation, air ticket reservation [ph], packaged ground transportation with intact guided tour, particularly on fast pass and comprehensive online information. Ctrip is committed to enhancing our core competencies, innovating our IT platforms, elevating our service level, and strengthening the partnership with our partners. Now I will turn to James for industry outlook.
James Liang: Thanks, Min. Recently Chinese State Council released the guidelines to accelerate the development of travel (inaudible) and the faster development of the travel industry and make it a strategic pillar of the national economy. This was the first time that the government elevated the importance of travel industry to a strategic level. We believe this symbolizes the new climax of the travel industry’s rise in China. China’s economy is still going to be one of the fastest growing economies in the world. And particularly the travel market – particularly the high-end travel market is going to grow even faster. Ctrip, through our organic growth and strategic investments, will become a leading player in the travel industry in Greater China. The comprehensive supply network, large and loyal customer base, cutting-edge technology platform, excellent service quality, and more importantly, our dedicated and diligent team will best position us in this fast-growing market. Looking forward to 2010, we are excited about our opportunities we have within the Chinese travel industry and Ctrip will work diligently to increase the value for our customers and partners and our shareholders. Now I’ll turn to Jane for financial update.
Jane Sun: Thanks, James. I’m very pleased to report the solid results for the fourth quarter and for the full year of 2009. For the fourth quarter of 2009, net revenues were RMB566 million or $83 million, representing a 43% increase from the same period in 2008 and a 4% increase from the previous quarter. Excluding net revenues attributable to ezTravel, net revenues were RMB546 million or $80 million, representing an increase of 38% from the same period in 2008 and a 5% increase from the previous quarter. For the full year ended December 31, 2009, net revenues were RMB2 billion or $291 million, representing a 34% increase from 2008. Excluding net revenues attributable to ezTravel, net revenues were RMB1.9 billion or $281 million for the full year of 2009, representing an increase of 29% from 2008. Hotel reservation revenues amounted to RMB279 million or $41 million for the fourth quarter of 2009, representing a 33% increase year-on-year and a 7% increase quarter-on-quarter. Excluding revenues attributable to ezTravel, Ctrip’s hotel revenues were RMB275 million or $40 million, representing a 31% increase year-on-year, primarily driven by the increase in hotel reservation volume. Excluding revenues attributable to ezTravel, Ctrip’s hotel reservation revenue increased by 7% quarter-on-quarter, primarily driven by the increase in the commission per hotel room. For the full year ended December 31, 2009, hotel reservation revenues were RMB956 million or $140 million, representing a 25% increase from 2008. Excluding revenues attributable to ezTravel, Ctrip's hotel reservation revenues were RMB942 million or $138 million for the full year of 2009, representing a 23% increase from 2008. The hotel reservation revenues accounted for 45% of total revenues in 2009 compared to 48% in 2008. Air ticketing booking revenues for the fourth quarter of 2009 were RMB240 million or $35 million, representing a 45% increase year-on-year, and remaining consistent with those in the previous quarter. Excluding revenues attributable to ezTravel, Ctrip's air-ticketing revenues were RMB233 million or $34 million for the fourth quarter of 2009, representing a 41% increase year-on-year, primarily driven by a 33% increase in air ticketing sales volume and a 6% increase in commission per ticket year-on-year. Excluding revenues attributable to ezTravel, Ctrip's air-ticketing revenues remained consistent with those in the previous quarter. For the full year ended December 31, 2009, air ticket booking revenues were RMB888 million or $130 million, representing a 35% increase from 2008. Excluding revenues attributable to ezTravel, Ctrip's air ticketing booking revenues were RMB866 million or $127 million, representing a 31% increase from 2008. The air ticketing booking revenues accounted for 42% of total revenues in 2009, remaining consistent with those in 2008. Packaged-tour revenues for the fourth quarter of 2009 were RMB49 million or $7 million, representing a 62% increase year-on-year and an 11% decrease quarter-on-quarter. Excluding revenues attributable to ezTravel, Ctrip's packaged-tour revenues were RMB41 million or $6 million, representing a 36% increase year-on-year due to the increase of the leisure travel volume and a 5% decrease quarter-on-quarter due to the decreased volume caused by seasonality. For the full year ended December 31, 2009, packaged tour revenues were RMB177 million or $26 million, representing a 62% increase from 2008. Excluding revenues attributable to ezTravel, Ctrip's packaged-tour revenues were RMB149 million or $22 million, representing an increase of 37% year-on-year. The packaged tour revenues accounted for 8% of the total revenues in 2009 compared to 7% in 2008. Gross margin was 77% in the fourth quarter of 2009, remaining consistent with that in the same period in 2008 and that in the previous quarter. For the full year ended December 31, 2009, gross margin was 77% compared to 78% in 2008. Product development expenses for the fourth quarter of 2009 increased by 37% to RMB88 million or $13 million from the same period in 2008 and increased by 9% compared to the previous quarter, primarily due to an increase of product development personnel and share-based compensation charges. Excluding share-based compensation charges, product development expenses accounted for 13% of the net revenues compared to 14% in the same period last year and in the previous quarter. For the full year ended December 31, 2009, product development expenses were RMB308 million or $45 million, representing an increase of 31% from 2008. Excluding share-based compensation charges, product development expenses accounted for 14% of net revenues, remaining consistent with those in 2008. Sales and marketing expenses for the fourth quarter of 2009 increased by 20% to RMB98 million or $14 million from the same period in 2008 and 4% from the previous quarter, primarily due to the increase of marketing related activities. Excluding share-based compensation charges, sales and marketing expenses accounted for 16% of net revenues, decreasing from 19% in the same period last year and 17% in the previous quarter. For the full year ended December 31, 2009, sales and marketing expenses were RMB345 million or $51 million, representing an increase of 20% from 2008. Excluding share-based compensation charges, sales and marketing expenses accounted for 16% of the net revenues, decreasing from 18% in 2008. General and administrative expenses for the fourth quarter of 2009 increased by 51% to RMB62 million or $9 million from the same period in 2008 and 32% from the previous quarter, primarily due to an increase in administrative personnel and share-based compensation charges. Excluding share-based compensation charges, general and administrative expenses accounted for 6% of the net revenues, remaining consistent with those in the same period in 2008 and in the previous quarter. For the full year ended December 31, 2009, general and administrative expenses were RMB196 million or $29 million, representing a 14% increase from 2008. Excluding share-based compensation charges, general and administrative expenses accounted for 6% of net revenues, remaining consistent with those in 2008. Income from operations for the fourth quarter of 2009 was RMB189 million or $28 million, representing an increase of 62% from the same period in 2008 and a decrease of 5% from the previous quarter. Excluding share-based compensation charges, income from operations was RMB239 million or $35 million, increasing by 60% from the same period in 2008 and by 6% from the previous quarter. For the full year ended December 31, 2009, income from operations was RMB687 million or $101 million, representing an increase of 49% from 2008. Excluding share-based compensation charges, income from operations was RMB818 million or $120 million, increasing by 39% from 2008. Operating margin was 33% in the fourth quarter of 2009 compared to 30% in the fourth quarter of 2008 and 37% in the previous quarter. Excluding share-based compensation charges, operating margin was 42% compared to 38% in the fourth quarter of 2008 and 41% in the previous quarter. For the full year ended December 31, 2009, operating margin was 35% compared to 31% in 2008. Excluding share-based compensation charges, operating margin was 41% compared to 40% in 2008. Net income attributable to Ctrip's shareholders for the fourth quarter of 2009 was RMB190 million or $28 million, representing a 57% increase from the same period in 2008 and a 1% increase from the previous quarter. Excluding share-based compensation charges, net income attributable to Ctrip's shareholders was RMB240 million or $35 million, representing an increase of 56% from the same period in 2008 and an increase of 11% from the previous quarter. For the full year ended December 31, 2009, net income attributable to Ctrip's shareholders was RMB659 million or $97 million, representing an increase of 48% from 2008. Excluding share-based compensation charges, net income attributable to Ctrip's shareholders was RMB790 million or $116 million, representing an increase of 38% from previous year. The effective tax rate for the fourth quarter of 2009 was 20%, increased from 2% in the same period of 2008, primarily because in the fourth quarter of last year, the preferential tax treatment of 15% was retroactively applied to certain PRC subsidiaries of Ctrip, which obtained approval for the High and New Technology Enterprise status, from January 1, 2008. The effective tax rate for the fourth quarter of 2009 increased from the previous quarter, primarily due to the increase in the amount of non taxable [ph] share-based compensation as a percentage to our income as a whole. The effective tax rate for the full year ended December 31, 2009 was 17% compared to 19% in 2008, primarily due to the decrease in the amount of non taxable share-based compensation as a percentage of our income as a whole. Diluted earnings per ADS were RMB1.32 or $0.19 for the fourth quarter of 2009. Excluding share-based compensation charges, diluted earnings per ADS were RMB1.66 or $0.24. For the full year ended December 31, 2009, diluted earnings per ADS were RMB4.67 or $0.68 compared to RMB3.23 or $0.47 in 2008. Excluding share-based compensation charges, diluted earnings per ADS were RMB5.60 or $0.82 compared to RMB4.16 or $0.61 in 2008. As of December 31, 2009, the balance of cash, restricted cash and short-term investment was RMB1.7 billion or $253 million. Effective on January 21, 2010, Ctrip changed the ratio of its ADSs to ordinary shares from two ADSs representing one ordinary share to four ADSs representing one ordinary share. For Ctrip's ADS shareholders, this ratio change had the same effect as a two-for-one ADS split. In early February 2010, Ctrip's wholly owned subsidiary, C-Travel International, entered into an agreement with Wing On Travel, where C-Travel agrees to invest in and Wing On Travel agrees to sell to Ctrip, 90% of the issued share capital of Wing On Travel's travel service segment for a total consideration of approximately $88 million in cash. The closing of this transaction is subject to certain conditions, including approval by shareholders of Wing On Travel. For the first quarter of 2010, the company expects to continue the year-on-year net revenue growth at a rate of approximately 30%. This forecast reflects Ctrip's current and preliminary view, which is subject to change. With that, operator, we are opening the line for questions.
Operator: (Operator instructions) Our first question comes from the line of Catherine Leung with Citigroup. Please proceed.
Catherine Leung – Citigroup: Hi, good morning. I have two questions. Firstly, regarding the Wing On acquisition, I was wondering if you would be able to share additional detail on deal terms, including whether there would be any earn-out agreement as well as any detail you could share on Wing On financials and how – also how their overseas supply network compares to yours currently in terms of the geographic coverage and hotel partners. My second question is on the pricing trends you’ve seen so far, as a follow-up, what you’ve seen in the fourth quarter and so far in the first quarter? Would you expect to see more noticeable improvement or some more meaningful trends after the Chinese New Year period? Thank you.
Jane Sun: For the first question, our CEO, Min, will address the strategic reasons for our investment and our supplement on the basic financial detail.
Min Fan: Okay. For the Wing On deal, I think with this investment, Ctrip and Wing On Travel, as you know, would have also the investment in ezTravel. For those companies, we will be able to work together to become the leading player in the travel industry in Greater China area and to cooperate with Wing On Travel. We can enhance our branding in Greater China area to enrich our product offerings and cover broader job market areas and together we can leverage our resources, understanding our competitiveness, provide best service in competitive prices to our target customers. As you probably know that Wing On is a well-known travel company in Hong Kong and had the extensive worldwide results with its 45 years in travel – leisure travel market. We believe Ctrip can leverage on its strength to cooperate with Wing On. And we can offer their products and services to our high-end urban leisure travelers. And also, as you know, Hong Kong is a very important international travel hub. With Wing On Travel experience in Hong Kong, Ctrip can better service our Mainland middle to high end travelers and also we can have a strategic position not only in Mainland China and Hong Kong, but also in Asia.
Jane Sun: Okay. I will supplement with the basic financial details. The deal – we signed the definitive agreement to invest in 90% of Wing On for the travel service segment. And our team is very excited about the opportunity that Ctrip will work with Wing On and also with our partner in Taiwan to become a leading player in the Greater China area. Together I think we can leverage each other's strength to better utilize our resources and technology platforms. The total consideration is about $88 million, and for us, it is accretive acquisition compared to their financials. Wing On has not published their 2009 financials. But based on their previous year’s financials, I think the acquisition is accretive to our business. Their major business is on the inbound and outbound tour business and air ticketing and hotel reservation. The company is the leading player in Hong Kong. So our team is extremely excited about this opportunity to service the Greater China market.
Catherine Leung – Citigroup: All right.
Jane Sun: And Catherine, your second question is on the pricing. In Q4, last quarter, I think the hotel price was very stabilized with slight – maybe 3% decline, but pretty much on a year-over-year basis, it has already stabilized. On the air ticketing side, we saw a 5% increase on a year-over-year basis. So going forward, we expect hotel as well as air ticket will – the price will be flattish compared to last year’s level.
Catherine Leung – Citigroup: Okay. Thank you.
Jane Sun: Thanks.
Min Fan: Thank you.
Operator: Our next question comes from the line of Marisa Ho with Credit Suisse. Please proceed.
Marisa Ho – Credit Suisse: Hi, good morning. I have a couple of follow-up questions on the Wing On acquisition. The first one is, I understand it actually falls under a listed company in Hong Kong, and I just want to confirm that you are only buying the travel subsidiary under the listed company in Hong Kong rather than involving the (inaudible). So that’s question number one. And the number two question is, from looking at the previous financials of Wing On Travel, I’m not that familiar with the company, but I understand that’s actually making losses. And I’m not sure whether the losses are coming from the non-travel segment or coming from the travel segment. You may not be able to give us a lot of color on the full year 2009 numbers, but it will be helpful if you can shed some light on the profitability of the business that you are acquiring. And the third question is, from memory, I – if I’m not mistaken, I think Wing On actually had an inbound licensing to operate inbound tours into China, but obviously they don’t have the outbound license that you do. Is that still the case? And to what extent it’s going to create synergies with what Ctrip has got in this portfolio right now? Thank you.
Jane Sun: Okay. I will take the first two questions and our CEO will take the last question. First of all, our M&A strategy has always been very disciplined and focused. But we are only interested in travel-related business. So you are correct. We are only investing in the travel segment. Secondly, the travel segment for the past years that have been disclosed in the public filing have been profitable. The acquisition for us is accretive. They will be able to contribute to approximately 5% to our net income after the closing.
Min Fan: Yes. As you talk about Wing On’s travel license, Wing On is a well-known travel company in Hong Kong. And it has a joint venture in Guangdong Province. And if you (inaudible) whether they have inbound or outbound license, I think in the Guangdong Province, they have the inbound travel license. Normally they will not have the urban travel license is what I know for the time being. But for Wing On to operate in Hong Kong, it is a full licensed company. It not only operates the inbound business, it can also operate outbound business. And in fact, Wing On is the leading urban travel service provider in Hong Kong. And it provides the products to Mainland to the middle to high end for – travelers. And also I think their branding is well positioned and well established in Hong Kong.
Marisa Ho – Credit Suisse: Would it be fair to say that the profit margin will be – Wing On business that you are acquiring will be a lower margin business compared to what Ctrip has got right now?
Jane Sun: In case of absolute dollar amount, I think it’s – they are making very good money compared to the other competitors. In terms of the profit margin, because the population in Hong Kong is smaller than it is in Mainland. And the size of Wing On is smaller than Wing On. So the scalability for Wing On is not as high as Wing On. But by combining both companies together, I think we will be able to improve the margin and achieve synergies through this alliance.
Min Fan: Yes. As we know, Wing On has more than 40 years operation in leisure travel market and it has extensive results, partnership in different areas, different countries. So in that means, I think Wing On can contribute very good synergy to Ctrip’s urban travel structure.
Marisa Ho – Credit Suisse: One final question from me. Would it also be fair to say that when you are looking at the economy of this acquisition, the $88 million you are paying will be considered a lower cost for product development compared to your own assets organically? Is that the right way to look at it? I mean, because ultimately the profit size coming from a primarily Hong Kong-based business is necessarily small. So it’s probably going to be a smaller percentage going forward to you as well, I mean, because your China business will be growing a lot faster. So to me, it sounds like the inherent business from Wing On right now will be more like a cash cow, but you are looking at the possible knowledge transfer to gain the experience of operating some of the high-end package tours in product development et cetera. I mean, do you think it is the right way to look at this acquisition?
Min Fan: I would like to put some color on this. For Wing On Travel, I think not only Wing On Travel is a profitable company, also as you know, Hong Kong right now is one of the most hot destinations for Mainland travelers. And we also can find very good synergy to work with – to cooperate with Wing On Travel in Hong Kong, and as well as, as you may know, that every year more than 17 billion Hong Kong travelers will travel from Hong Kong to Mainland China. And this can also provide us very good potential to explore this market. As you know, Ctrip, we have the best product to provide in Mainland China and also our service quality is one of the best. So we anticipate that the synergy will be developed in the near future.
Jane Sun: Okay. On the financial side, I think you are right. Wing On Travel is also an ancient model. Capitalized [ph] cash flow positive. So for us, it’s just like you illustrated before, it’s a cash flow positive business. And also I think, as our CEO just said, Wing On has extensive branding and product power in the region. So by aligning us with them, I think we can better service our inbound customers through Hong Kong hub, as it is becoming a very important travel hub in Asia and in the world. And also when we send outbound customers to worldwide travel destinations, if we combine the volume from Mainland in Wing On and ezTravel together, I think we also have advantage and leverage on the outbound travelers as well.
Marisa Ho – Credit Suisse: Great. Thank you.
Jane Sun: Thanks.
Min Fan: Thank you.
Operator: Our next question comes from the line of Mike Olson with Piper Jaffray. Please proceed.
Mike Olson – Piper Jaffray: Hi, thanks. Good morning. Couple quick questions. Is there any impact from Wing On Travel too in your Q1 revenue guidance?
Jane Sun: Mike, I think the deal is expected to be closed in three to six months. Not until we close the deal, we will not pick up any financial numbers from Wing On. So maybe in three or six months we will be able to have Wing On’s results consolidated into our financials. So Q1 number does not include Wing On numbers.
Mike Olson – Piper Jaffray: Okay, perfect. And you guys are clearly having strong revenue growth and operating margin of 33% was up 30% year-over-year. But I think there is some question about just what operating margin should look like in 2010. Would you be willing to share your thoughts on operating margin in 2010? And will it be kind of in the range of what we saw in Q4?
Jane Sun: I think – our team is very disciplined in how to better utilize our resources. Every dollar we spend in the channel, we try to maximize the return. So for the next quarter, we feel comfortable with the operating margin anywhere between 38% to 40% before stock comp.
Mike Olson – Piper Jaffray: Okay. So for Q1, 38% to 40% operating margin is a reasonable assumption?
Jane Sun: Yes.
Mike Olson – Piper Jaffray: Okay. And would you be willing to say for the remainder of the year what a reasonable range would be?
Jane Sun: We will try our best to maintain at higher operating margin as possible. But conservatively I think it should be very stabilized within the range of 35% to 40%.
Mike Olson – Piper Jaffray: Okay. Thanks very much.
Jane Sun: Thanks, Mike.
Operator: Our next question comes from the line of Kathy Chen with Goldman Sachs. Please proceed.
Kathy Chen – Goldman Sachs: Hi, thanks for taking my question. I have a follow-up question regarding the first quarter guidance. Can you just give us some more color on the breakdown of what you are expecting for air versus hotel in the 30% growth? And then the second question is just if you could share with us what the increase in other income was during the quarter. Thanks.
Jane Sun: Sure. First of all, the guidance of 30% is mainly comprised of hotel. We assume it’s about 20% to 25% year-over-year growth. For air ticket, it’s about 30% to 35% year-over-year, and packaged tour, around 50% year-over-year growth. Your second question on other income, the other income line is mainly comprised the government subsidies. In the fourth quarter, we were able to get increased amount of the government subsidies. That’s the reason for the increase.
Kathy Chen – Goldman Sachs: Thanks. And for the packaged tour, is it 60%?
Jane Sun: 50 – 50%.
Kathy Chen – Goldman Sachs: 50%, okay. And that other income was primarily the government subsidy then?
Jane Sun: Correct, correct. The government subsidy, we take a very conservative approach to record it because the amount of the government subsidy and the timing when we will receive the government subsidy is very hard to forecast. So therefore we do not book any other income unless we saw cash in our banks. So it’s on a cash basis.
Kathy Chen – Goldman Sachs: Okay, great. Thank you.
Jane Sun: Thanks very much.
Operator: Our next question comes from the line of Aaron Kessler with Kaufman. You may proceed with your question.
Aaron Kessler – Kaufman Brothers: Great. Hi, guys, couple questions. First, on the tax rate, can you give us a sense for whether they may come out either for Q1 or for 2010?
Jane Sun: Sure. Most of our entities are (inaudible) high end and your technology status. So the tax rate, before stock compensation, should be in the range of 15% to 17%. After stock compensation, it should be somewhere around 20% to 22%.
Aaron Kessler – Kaufman Brothers: Got it. Okay. And then on the – I don’t know [ph] if you can give us the hotel volume growth, we could kind of back into, but can you give, if you have that, maybe the hotel borrowing growth ex ezTravel? That would be helpful. And also just on the Q1 guidance, typically that’s been flattish on a sequential basis versus Q4. So I’m just wondering if there is conservatism built in for Q1 or if – and if there was any impact from the snowstorms in early Q1 also.
Jane Sun: First of all, the hotel revenue grew more than 30%. Mainly it’s driven by the volume growth. So that’s the reason. Secondly, on the guidance, I think if you look at the seasonality, Q1 normally is the slowest season in the year because it’s winter season. Fewer leisure travelers will travel. And also the Chinese New Year normally fall into the Q1. So business travelers also travel less. So Q1 normally is the slowest season for the whole year. So it would make sense to compare on a year-over-year basis to take out the seasonality. And we believe 30% is a conservative guidance.
Aaron Kessler – Kaufman Brothers: Okay. And can you comment on maybe the stock comp increase in Q4 that was up about $3 million sequentially? And also other revenue line is also up about 30% sequentially. Maybe can you give us a little detail there? Thank you.
Jane Sun: Sure. Stock compensation is linked to two major elements. The first one is the total stock options we grant. The second one is the valuation of the stock comp. For the first element, we control the number of the stock option that we can grant very carefully. Our plan (inaudible) to grant 1 million – to add 1 million to the stock option pool. So the number is controlled. The second element is the valuation of the stock option. And that’s linked to mainly factors such as our stock price, volatility, interest rate, dividends, et cetera. And these elements, we really don’t have too much control on it. So the higher our stock price is, the higher the valuation is. And that’s the main reason why you see gradually the stock comp increase – increase its value. So that’s a fair question. The second one is the other income. The other income, as we discussed, is mainly from the government subsidiaries –
Aaron Kessler – Kaufman Brothers: I’m sorry, Jane, actually the question is on the other revenue line. I don’t think if you –
Jane Sun: Oh, in the other revenue. The other revenues are small advertisement revenues, insurance revenues, et cetera.
Aaron Kessler – Kaufman Brothers: Yes. I think those are – (inaudible) the question is, those are up about 1.3 million sequentially, just wondering if there is anything abnormal there or if that’s just growth of some of the IT cards in advertising.
Jane Sun: Yes. I think although it’s small, our team works very hard on it to try to maximize the revenue. So based on the small basis, it’s relatively easier to beat a smaller base to a higher growth rate.
Aaron Kessler – Kaufman Brothers: Okay. Thank you, Jane.
Jane Sun: Thanks, Aaron.
Operator: Our next question comes from the line of Wendy Huang with RBS. Please proceed.
Wendy Huang – RBS: Morning. My first question is, could you give some outlook for the 2010 top line growth, especially how much growth is coming from organic growth and how much growth actually coming from the accretion?
Jane Sun: Wendy, I think the guidance we gave today is for Q1 and it is 30% year-on-year. For the full year, we have to monitor it a little bit closely because this year there is a one-time event. We really do not know how it’s going to play out. So we would feel more comfortable as we approach the World Expo a little bit closer. Then I think our guidance will be more prudent.
Wendy Huang – RBS: Right. You actually mentioned in your prepared remarks that China travel industry were entering to a high growth phase. And also the governments for the first time puts travel in its official guideline. And I think the one-time event you just mentioned seems to only provide upside and there is no downside there. So should we actually expect 2010 top line growth to be much higher than your first quarter year-over-year growth?
Jane Sun: At this stage, I think we still have to monitor the developments very carefully. We do believe that the World Expo will be very good for China because the China concept will be elevated and also will be very good for the City of Shanghai because people from everywhere will come to visit. And Ctrip is headquartered in Shanghai, so we are in a best position to capitalize these opportunities. But as in all the other major events, I think we still have to monitor the developments very carefully in order to give a prudent guidance going forward.
Wendy Huang – RBS: Okay. Then can you give more color on your hotel and air ticketing Q1 guidance, especially about ARPU trend of those two major segments in Q1?
Jane Sun: Our guidance overall is around 30%, which includes hotel 20% to 25%, air 30% to 35%, and packaged tour 50%. And we assume the price is flattish, commission rate is flattish. So mainly the growth is going to be driven by volume.
Wendy Huang – RBS: Okay. So when do we actually expect the hotel’s ARPU to go back to the normal level?
Jane Sun: I think it’s taking – the hotel price is being recovered slowly, but gradually. But as I think if the economy is keeping up at its healthy pace, travel industry will grow at a healthy pace. As long as the volume is holding very strong, hotel price will gradually recover.
Wendy Huang – RBS: Okay. And also one final check on the 4Q air ticketing ARPU, you mentioned, is 6% year-over-year growth. It’s actually less than Q3. Is there any price decline in Q4 for the air ticketing side?
Jane Sun: Air ticketing, we check on a year-over-year basis. And it seems to us that a 5% year-over-year base representing a very good recovery from last year’s level.
Wendy Huang – RBS: Q1 ARPU guidance you just gave is flattish Q-on-Q, right? So I just want to get a clear idea about sequential changes.
Jane Sun: Sequential changes, I think 5% can be up or down. 5% is a very narrow range already. Obviously we hope the price will hold very strongly, but right now I think our visibility tells us that a flattish expectation is the reasonable number.
Wendy Huang – RBS: Okay. Thanks, Jane.
Jane Sun: Thanks, Wendy.
Operator: Our next question comes from the line of Eddie Leung with Bank of America. Please proceed.
Eddie Leung – Bank of America: Hey, good morning, Jane, Min and James [ph].
Jane Sun: Good morning, Eddie.
Eddie Leung – Bank of America: Hey. Just a couple questions on the ticket trends. The first one is, could you – could you guys give us an update on your corporate travel business?
Jane Sun: Sure.
Min Fan: Yes. For corporate travel business, I think our corporate travel business is growing compared with other business. And as you probably know that we are already in the list of top-three peers in the area and also we were placed at one of the best corporate travel agencies in China. And our market share is still relatively small, but we think this market is very promising. With the economic getting better, we are confident the growth of this business will be stable and healthy. Right now, the corporate travel business has not reached 5% of total revenues. We will break it when it reaches 5%.
Jane Sun: Eddie, I think we probably will plan to break it out next year because it’s approaching the 5% very quickly.
Eddie Leung – Bank of America: Got that, Jane. Another question is regarding the leisure travel business, could you guys also comment on the trend of your leisure travel business relative to your business – travel business – business travelers business in the past, especially in the past couple of quarters, because we heard that it seems like the leisure travel business in China pick up pretty quickly in the second half. I’m just wondering whether that’s a – that's also a trend that you see for your home [ph] business?
Min Fan: If you see the last year situation, although it’s still very impacted by the financial crisis, our leisure travel business still achieved very strong and healthy growth rate. And I think this is mainly because the – in China, the crisis is – China will go out of this financial crisis very quickly and also more and more white-collar people, they intend to – they intend to travel around, and especially those, as you know, what we call those born from the ‘80s, 1980s, they will spend [ph] consumer more than the old people. So we are very confident in this travel – leisure travel market. That was why we would like to acquire Wing On Travel in Hong Kong, which we can find more synergies to boost our leisure travel market business.
Eddie Leung – Bank of America: Right. But do you think the leisure travelers would be more price-sensitive and how that would affect your business?
Min Fan: For leisure travel – for leisure travelers, definitely they are more price-sensitive than the business travelers. As you can see in our website, we provide those price check functionality (inaudible) and also will provide best deal. But as you know, we – for our marketing position, we will aim at the middle to high end consumers, and we provide very for many – many providers products to our kind [ph]. So I think most of our kinds will vary more on our service and also vary more on our packages with reasonable price.
Eddie Leung – Bank of America: Understood. Thank you very much. Thank you, guys.
Min Fan: Thank you.
Jane Sun: Thanks, Eddie.
Operator: Our next question comes from the line of Philip Wong with Morgan Stanley. Please proceed.
Philip Wong – Morgan Stanley: Good morning. Congratulations on the good quarter.
Jane Sun: Thank you.
Philip Wong – Morgan Stanley: I have a question about – on your air ticket volume growth, which has been growing at three to four times faster than the industry average over the past two or three years, however the growth rate has been going down in recent quarters comparing to industry level. Could you please give us some color on this? And how should we look at the growth rate in air ticketing volume sales compared to the industry over the next two to three years? Thank you.
Jane Sun: For air ticket volume, I think our team will work very hard to outpace the market growth. If you look at the growth rate for this year, the major three airlines grew about 15%. And last year, when the airline was flattish, we still delivered more than 40%. So internally how we look at the growth rate is, we add two years growth rates together and average out. So you can pretty much average out at around 10%. And our team delivered on average more than 30% year-over-year. That’s already very strong in effect. And we will keep up with our momentum to expand into the new areas.
Philip Wong – Morgan Stanley: Thank you.
Jane Sun: Sure. Thanks.
Operator: Our next question comes from the line of Ming Zhao with SIG. Please proceed.
Ming Zhao – SIG: Hi, thanks for taking my question. Good morning.
Jane Sun: Hi, Ming.
Ming Zhao – SIG: Hi, thank you. So first question is regarding the Q1 guidance, there is a pretty big snowstorm in the North China, weather is cold, and this year Chinese New Year is late in the quarter. At this point, you probably do not have enough data for the 1Q versus the 1Qs in the past years. So when you guide this 30% year-over-year growth, are you taking to some conservatism in the guidance? That’s my first question.
Jane Sun: Sure. I think the guidance of 30% has taken into consideration of our – what we can see and what we have experienced in the past month already. As you know, our team is very committed to deliver as higher result as possible. But in the hospitality business, there are things we cannot control such as snowstorm. So that’s why we are building conservativeness in our guidance already.
Min Fan: Yes. The snowstorms, I think, had some but a very limited impact so far on our business in Q4. As I said, during [ph] snowstorm, we saw some cancellation of the air tickets, but I think the other business still performed normal.
Ming Zhao – SIG: Okay. What about the late Chinese New Year? Do you have any view about whether that’s a positive thing or a negative thing?
Min Fan: Chinese New Year, normally it’s – after Chinese New Year, normally for business travelers and leisure travelers will be a slow season. It’s – I think it’s the normal seasonality. I think for this – for the Golden Week holiday reservation we see, it’s in line with our expectation.
Ming Zhao – SIG: Okay.
Jane Sun: And as far as – I think as far as the Chinese New Year fall within the same quarter, if you take the fourth quarter compared to last year, it should be okay. From month-over-month, it might have some variances, but if you add three months together, I think it’s comparable to last year’s.
Ming Zhao – SIG: Okay. My second question is about the Nantong call center. Have you started using the call center yet? If so, what’s the percentage of the volume is coming from the Nantong call center?
Min Fan: We will probably use this Nantong call center in the second half of this year. And in fact, right now in Nantong, we have already some employees, some call center staff there. We shifted some call center volume to Nantong already to make small transition for the next half year.
Jane Sun: So our now pilot program is running in Nantong, but we are leasing a small facility for the pilot program. Our own building will be ready in the second half of the year.
Ming Zhao – SIG: Okay. My last question, very quickly, Jane, what’s the stock option expense should be for next quarter, for Q1?
Jane Sun: Ming, I think as we discussed before, stock option has two elements. The first element we have very good control on, which is the number of shares we can grant. Every year we have limited number. That’s the limit we can use. The second one is the valuation of the stock option. So that item is hard to predict because it’s linked to our stock price. The higher the stock price it is, the higher compensation charges will be. At the current rate, it’s somewhere around 10 – 10%, in that range.
Ming Zhao – SIG: Okay. All right. Thank you very much.
Jane Sun: Thanks, Ming.
Min Fan: Thank you.
Operator: Our next question comes from the line of Paul Keung with Oppenheimer. Please proceed.
Paul Keung – Oppenheimer: Well, hi, thanks for taking my question, especially since I got in late here, but (inaudible) I won’t ask again. First question is, with my experience looking at some of the companies in the US, in your Wing On acquisition, can you tell – can you give us an idea of how much daily or monthly unique trafficking you have on your site from Chinese visitors, Mainland China, look at packages and travel to Hong Kong and vice versa, and then tell us kind of what those conversion rates are and how much do you think that could improve with this acquisition?
Min Fan: Right now, Chinese FIT travelers to Hong Kong, the volume is very big. And I think Ctrip right now is the number one player in this field. And if you see the total number, Chinese people, Mainland people with Hong Kong every year, the number of over 10 million – over 10 million. And I think although Ctrip is the number one FIT operator in this field, but still we have much room to grow with the signature with Wing On Travel. And also for Hong Kongese visit Mainland China, the total volume is also more than 10 million. The tens of millions people will – Hong Kongese would be to Mainland Chinese. So this also gives Ctrip a very good synergy to developing in this field.
Paul Keung – Oppenheimer: Okay. And my question is more related to your traffic on your website. Is there a certain number or percent you could tell us in terms of how many users you have? Because I would imagine the conversion rate of those online consumers are actually very low given you only have the kind of inventory and the deal that they may be looking for, which Wing On hopefully brings to you.
Jane Sun: Yes. Paul, I think you are right, because we currently – before the investment in Wing On, we did not have a strong presence in Hong Kong. So for the inventory perspective, product offering, service level, it’s not as strong as we would like it to be. It’s not as strong as our strength in Mainland China. I think that’s the strategic reason why we want to form alliance with Wing On because they have excellent customer service and excellent vendor relationship in Hong Kong. By aligning ourselves with Wing On, we will be able to improve the service level and increase the product offerings to the Mainland travelers to Hong Kong.
Paul Keung – Oppenheimer: Okay. And my second question has to do with the airline move in the last six months from the high-speed rail, the most recent actually that came online, the airlines you spotted by adding a lot more flights in capacity and reducing the rates, it’s obviously a benefit to you. As you plan out sort of – has it impacted you at all? Do you see a benefit from it? And do you think the airlines actually may – what happens if the airlines got to cut back on capacity so they can make the results [ph] profitable?
Jane Sun: The airlines, it’s very carefully monitoring the progress on the railway development. So we are confident that all the airlines will work very prudently to make sure their capacity is suitable to the market demand. Whether they increase or decrease, I’m sure the goal is to maximize their revenue yield contribution. And we will work with the airlines to service the customers well and to support the airlines and support our partners to the best we can.
Paul Keung – Oppenheimer: Okay. Thanks for taking my questions, and a good quarter. Great, thanks. Bye.
Jane Sun: Thanks, Paul.
Min Fan: Thanks.
Operator: Our next question comes from the line of Eric Win [ph]. You may proceed with your question.
Eric Win: Hi, thanks. Thanks very much for taking my questions. Jane, I just want to have one clarification on the Wing On acquisition. You are acquiring the travel business, which is – is it close to about 80%, 85% of the list-co’s [ph] revenue or (inaudible) acquiring some of their holding company? How do we model the percentage of revenue on going forward once the acquisition –? Thanks.
Jane Sun: Sure. I think we have not published 2009 number yet. But based on our review of prior year’s number, they will be able to contribute approximately 5% to our net income on the bottom line. And for this year, it’s a transitioning year because we signed the agreement and it’s going to take approximately three to six months to close. And after the closing, then we will be able to pick up their numbers into our financials. So for this year, it’s going to be very minor impact. But going forward, maybe 5% at bottom line.
Eric Win: Okay. Wing On has about – according to the Annual report, they have about 2,000 employees in Hong Kong. Are you taking over these 2,000 employees or do you plan to (inaudible)?
Jane Sun: No, we – our M&A strategy is very focused. We are only interested in travel-related business. So the segment we are interested in, which is covered by our agreement, is only travel segment. And for that segment, the employee number is approximately 600 people. All of them are related to travel. So product managers, tour guide, everyone is associated with travel business, which will be strengthening our leisure travel group.
Eric Win: And then the branch offices, are you taking branch office (inaudible)?
Jane Sun: Their major branch offices are in Hong Kong and in some other popular tower destinations where Ctrip does not have a branch office. We will be able to work with them to fully utilize their existing branch offices. But they are very limited. I think they only have branch offices to report their outbound business volume (inaudible).
Eric Win: Okay, got it. Thanks, helpful.
Jane Sun: Thank you.
Min Fan: Thank you.
Operator: We have a follow-up from the line of Marisa Ho with Credit Suisse. You may proceed with your question.
Marisa Ho – Credit Suisse: Hi. I just have a follow-up question about the air-ticketing commission rate, because I recall that in the third quarter of 2009 you were alluding to some slight pressure in the commission rate and pushing it toward the low end of that 4% to 5% range that you have been talking about. Do you have an update for the fourth quarter and also the first quarter of 2010, please?
Jane Sun: Sure. We monitor the commission rates very carefully. I think in the fourth quarter, it’s in the middle of the range. And in Q1, it’s also stabilizing within our normalized range. So, flattish on a year-over-year basis.
Marisa Ho – Credit Suisse: Okay. Excellent. Thank you.
Jane Sun: Thanks, Marisa.
Operator: Our next question comes from the line of Roslin Zhu with CIMB-Principal. Please proceed with your question. Roslin, your line is open; you may proceed with your next question.
Roslin Zhu – CIMB-Principal: Hello? Thanks for taking my question.
Jane Sun: Sure.
Roslin Zhu – CIMB-Principal: Just a follow-up question on the railway expansion in China. Will it be – will it be another business for Ctrip to look at the railway on these times?
Min Fan: Yes. I think for the (inaudible) railway or high-speed train development will be good thing for the economic development in China. And also this will fulfill better China’s growing travel demand. And I think along the high-speed railway line with the network getting built, there would be more destinations for the leisure travelers to go for. And also we can cooperate with more hotels along the railways. That will also increase our hotel room line. And also as our (inaudible) is working very hard to develop railway plus hotel vacation package products, we think this will increase our packaged tour business in the near future. Yes. So as – if the railway authority opens up for agencies to distribute their tickets in the future, I think Ctrip has the efficient platform, which I think will add very good values to their services. We will monitor this development very carefully.
Roslin Zhu – CIMB-Principal: Okay. Is there any timeline on when they will be opened to the agents to distribute?
Min Fan: We will monitor very closely, but so far we do not see the very clear timetable on this.
Roslin Zhu – CIMB-Principal: Okay. Thank you very much.
Jane Sun: Thanks.
Min Fan: Thank you.
Operator: Our final question comes from the line of Wendy Huang with RBS. Please proceed with your questions.
Wendy Huang – RBS: Hi. Just two housekeeping questions. Regarding that high-speed train, I noticed that for some routes with high-speed train presence, the airline ticket price has been already lowered. So have you actually observed a similar pressure on your commission and also observed a similar price trend?
Min Fan: I think for the high-speed railway network established in some areas, the air-ticketing business might be affected. But so far, we think this impact is very limited. And also I think the airline companies will also provide more competitive package to its customers. So we – also we would like to have a better position to work closely with the airline companies and also closely with our railway companies.
Wendy Huang – RBS: Okay. And for the Wing On accretion, you mentioned that it will contribute 5% profit, but what will be the percentage contribution for the top line?
Jane Sun: Top line, it’s approximately at that range also.
Wendy Huang – RBS: Okay. And also could you give an update on the total headcount and how many of them are call center staff right now?
Jane Sun: Yes. We don’t have the exact, but from – but it looks like approximately 600 people and all of them –
Wendy Huang – RBS: I’m sorry, Ctrip’s total headcount.
Jane Sun: Our Ctrip total headcount, I think we – it's approximately 10,000 employees.
Wendy Huang – RBS: And how many of them are call center people?
Min Fan: Call center, 4,000 to 5,000.
Jane Sun: Half of them.
Wendy Huang – RBS: Okay. Thank you.
Jane Sun: Thanks, Wendy.
Min Fan: Thank you.
Operator: There are no additional questions at this time. I would now like to turn the call back over to management for closing remarks.
June Zhu: Thank you, everyone, for attending our conference call today. And thanks for your continued support to our business. Good bye.
Jane Sun: Thank you.
Min Fan: Thank you.
June Zhu: Bye-bye.
Operator: Thank you for attending today’s conference. This concludes the presentation. You may now disconnect and have a great day.